Operator: Good morning, and welcome to the GeoPark Limited Conference Call following the results announcement for the Third Quarter Ended September 30, 2019, and the 2020 work program and investment guidelines. [Operator Instructions] If you do not have a copy of the press release, please call the Sard Verbinnen & Company in New York at 1(212)687-8080, and we will send one out to you. Alternatively, you may obtain a copy of the release at the Investor Support section on the company's corporate website at www.geo-park.com. A replay of today's call may be accessed through this webcast in the Investor Support section of the GeoPark corporate website. Before we continue, please note that certain statements contained in the results' press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Legislation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time to time in the company's SEC reports and public releases. Those lists are intended to identify certain principal factors that could cause actual results to differ materially from those described in the forward-looking statements but are not intended to represent a complete list of the company's business. All financial figures included herein were prepared in accordance with the IFRS and are stated in U.S. dollars, unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is James F. Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andrés Ocampo, Chief Financial Officer; and Stacy Steimel, Shareholder Value Director. And now I'll turn the call over to Mr. James Park. Mr. Park, you may begin.
James F. Park: Thank you, and welcome, everyone. We're here with you this morning with our executive team at Buenas Aires, Argentina to report on our third quarter 2019 results, highlight the ways we focus on creating shareholder value and giving back to shareholders and introduce our work and investment program for 2020. Firstly, thanks to the GeoPark team for continuing to consistently execute and deliver both operationally and financially and continuing to fight every day to improve every element of our business. We believe success in our business begins and ends with on the ground performance, performance, performance. By steadily pursuing our long-term risk-balanced diversified portfolio plan, GeoPark has ground out a hard-earned 17-year performance track record of production, reserve and net present value growth. And this quarter, again, we can see the team making improvements across every sector: continuing oil and gas production growth in Colombia, Chile and Argentina; continuing to make new oilfield discoveries and development drilling successes in Colombia and Brazil and with expected reserve additions; continuing to reduce operating and capital costs and become more efficient, which translates to the bottom line and to our balance sheet; continuing to expand our project portfolio by acquiring new high-impact acreage in Colombia and Brazil, especially the new attractive acreage surrounding the Llanos 34 block, where the National Oil company picked GeoPark to partner with and operate in its own basin. Our reliable record in growing our business on the ground benefits our shareholders first and foremost by our strong share price performance, which has exceeded 300% since January 2017. With the cash flow generated by our growing business, we continue to reinvest to look for more oil and gas to increase production and reserves and to acquire new acreage and projects on our path to capturing even more scale. Beyond our base investment objectives and keeping our balance sheet strong, our excess cash flow was available for an ambitious share buyback program beginning in late 2018. This program further increased our net present value on a per share basis. Now as an additional way to share our superior financial returns and free cash flow directly with our shareholders, GeoPark initiated a quarterly cash dividend payment effective beginning this quarter. We believe that a company that can consistently execute, invest, find oil, grow and return value back to its shareholders, all funded by its own cash flows, is the right model for our industry today. In a volatile world, being able to deliver on all these fronts is the true measure of a company's durability and value. Looking at our 2020 work and investment program, this is exactly what we are doing. We have a flexible work program for $130 million to $145 million, assembled by our proven capital allocation methodology and which is targeted to increase oil and gas production by 5% to 10%, drill 36 plus wells with five rigs working, 25% exploration and 75% development, carry out 3D seismic on new blocks, construct and expand facilities and infrastructure and continue driving down costs and increasing efficiencies across the company. This program will keep GeoPark as one of the most active drillers in Latin America. We will also continue our progress as a consolidator to bid on and acquire attractive hydrocarbon blocks and projects across our Latin American platform and expanding key partnerships such as with Ecopetrol and ONGC from India. In addition to the value added from our work program, we believe our shareholders will benefit from our stock performance, our share buybacks and our cash dividends. Of course, the overall context and underlying foundation for all of GeoPark's performance is our in-house integrated value ESG program we call SPEED. This program was a founding element of our company and one of our proudest accomplishments, always pushing us to be the employer of choice, partner of choice and neighbor of choice wherever we are operating. Thank you, and we'll be pleased to answer any questions.
Operator: [Operator Instructions] The first question comes from the line of Gavin Wylie with Scotiabank.
Gavin Wylie: Good morning, James. Just a very quick question for me. Just on Guaco 1. Wondering if you guys could provide a quick update on where production sits? Your IP rate was around that 1,000 barrel a day rate. Just wondering kind of what we're seeing year-to-date or I guess production-to-date now? And if there is plans to drill any follow-ups in the 2020 budget.
Augusto Zubillaga: Hi, Gavin, good morning. This is Zubi. As we mentioned on last call, just to remind what the prospect work was, it was a combination of stratigraphic and structural type of trap. So the well was drilled and completed and is on production right now. Right now, it's producing 600 barrel of oil per day with no water. So – and it was completed in the Guadalupe formation and just to add a little bit about that, we have an upside in the Mirador formation as well. So the plan for next year is to keep drilling in that structure. We are planning to build two more wells in the Guaco structure, and according to the reserves, right now; we are in the certification process. So we will know more in the following months.
Gavin Wylie: Excellent, thank you.
Operator: Your next question will come from the line of Ian Macqueen with Eight Capital.
Ian Macqueen: Good morning, guys. Just a quick question. I see about $1 million to $1.5 million for Peru. The original plan was to spend $100 million in Peru. So what are your updated plans longer term for the Peruvian assets?
Augusto Zubillaga: Hi. Ian, good morning. Yes, as you pointed out, our plan was to advance with those investments following the approval of the environmental impact study, which is the Number 1 basic element that we need to be able to move forward in our investments in Peru. A few months ago, we announced that we were withdrawing that environmental impact study to refile it, and currently we're working on developing the plan on how that new document will be filed. And at this point, we don't have clarity on the timing for that, or when that document is going to be approved or refilled. And that's why we have not allocated any significant investments in Peru during 2020. Our hope is that we can move to develop a plan faster. But until we have a more definitive or more clarity on what – on how fast we can move there, we are not allocating any additional capital to Peru.
Ian Macqueen: Perfect. Thanks very much guys.
Augusto Zubillaga: Thank you, Ian.
Operator: [Operator Instructions] The next question will come from the line of Miguel Ospina with Compass Group.
Miguel Ospina: Hi everyone. Thank you for the presentation. My question is related to Ecuador. Could you give us more detail on the development program for next year? And how much contribution do you expect in terms of production next year as well? Thank you.
Augusto Zubillaga: Hi, Miguel, good morning. We have zero production associated to Peru in 2020, mainly because our activities there are purely exploration. We have a budget of approximately $8 million to $10 million allocated to Ecuador for 2020, and that is going to be split in two main activities. One is the acquisition of 3D seismic in the Espejo block, which is operated by GeoPark with 50% working interest and the drilling of one well in the Perico block, which is not operated by GeoPark. That is going to happen most likely closer to the fourth quarter of the year. So those CapEx also anticipate some cost associated to a second exploration well in that block that will occur in the first quarter of 2021. So part of it – so it's basically one well drilled at the end of 2020. And part of the CapEx that you see there is related to costs that are related to a well that is going to occur most likely in the first quarter of 2021. So two wells, one in 2020, one in 2021, plus the seismic that we're doing. And as I said at the beginning, given that this is exploration we typically don't associate production to drilling exploration prospects. So we fully reach them as coming with zero production. That's not our hope, but that's the way we give our guidance.
Miguel Ospina: Perfect. Thank you.
Augusto Zubillaga: Great. Thanks to you.
Operator: [Operator Instructions] And with no further audio questions, I will now hand the floor back to Mr. James Park for closing remarks.
James F. Park: Thank you, everybody, for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations in each country and call us at any time for more information. Thank you.
Operator: This does conclude today's conference call. We thank you for your participation and ask that you please disconnect your line.